Operator: Good day, ladies and gentlemen, and welcome to the Q2 2017 MagnaChip Semiconductor Corporation Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Bruce Entin, Director of Investor Relations. Sir, you may begin.
Bruce Entin: Thank you for joining us to discuss MagnaChip's financial results for the second quarter ended June 30, 2017. The second quarter earnings release that we filed today after the stock market closed and other releases can be found on the Company's Investor Relations Web site. A telephone replay of today's call will be available shortly after the completion of the call, and the webcast will be archived on our Web site for one year. Access information is provided in the earnings press release. Joining me today are YJ Kim, MagnaChip's Chief Executive Officer; and Jonathan Kim, our Chief Financial Officer. YJ will begin the call with a discussion of the Company's recent operating performance. Following YJ, Jonathan will provide an overview of our financial results. YJ will then briefly provide a recap as well as provide financial guidance for the third quarter of 2017. There will be a question-and-answer session following today's prepared remarks. During the course of this conference call, we may make forward-looking statements about MagnaChip's business outlook and expectations. Our forward-looking statements and all other statements that are not historical facts reflect our beliefs and predictions as of today and therefore, are subject to risks and uncertainties as described in the Safe Harbor discussion found in our SEC filings. During the call, we will also discuss non-GAAP financial measures. The non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles, but are intended to illustrate an alternative measure of MagnaChip's operating performance that may be useful. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures can be found in our second quarter earnings release available on our Web site under the Investor Relations tab at www.magnachip.com. I would now like to turn the call over to YJ Kim. YJ?
YJ Kim: Thank you, Bruce and good afternoon to everyone on our Q2 2017 conference call. When we announced results for the fourth quarter of 2016, we told investors that our primary focus in 2017 would be to improve gross margin and overall profitability. Our financial results in Q1 of this year show that we were on the right track and moving in the right direction. The Q2 financial results we have reporting today continue to demonstrate that were executing according to our plan. As a management team, we closely tracked several profitability metrics but we believe gross profit margin and adjusted EBITDA are particularly good indicators of our progress because they provide a snapshot of the ongoing operational performance in our core business. Let's first review our gross margin performance in Q2 and then move on to adjusted EBITDA. Total gross margin in Q2 was 28% which exceeded the high end of our previous guidance range and was at the highest level in more than four years. Gross margin benefited from slightly higher fab utilization, a favorable product mix and earlier than expected cost benefits from departures of manufacturing employees who participated in our 2017 voluntary headcount reduction plan. Our eight inch fab utilization, a key driver of gross margin reached the low to mid 90% range in Q2 as compared with approximately 80% in Q2 of 2016. Foundry services gross margin in Q2 was 28.7%, an increase of about six percentage points from 22.8% in the second quarter of 2016. Gross margin in the Standard Products Group was 27.2% in Q2 or so up approximately six percentage points from 21.4% in the same period a year ago. Turning now to adjusted EBITDA; adjusted EBITDA in Q2 was $20.3 million or 12.2% of revenue, up 146% from $8.6 million or 5.2% of revenue in the second quarter a year ago, and up 55% from $13.1 million in the first quarter of 2017. Adjusted EBITDA of $20.3 million in Q2 reached the highest dollar level in any quarter since the first quarter of 2013 and adjusted EBITDA as a percentage of revenue increased for the fourth straight quarter. A discussion of improved profitability would not be complete without mention of total revenue which came in at the high end of the guidance range for Q2. Revenue was $166.7 million, about flat with the second quarter a year ago and up 3% from Q1 of 2017 despite previously disclosed [indiscernible] in the OLED business. The headway we've made to improve profitability can be traced back to business strategies we've implemented and key operation decisions we've made. Here are three recent examples beginning with our decision to reduce the workforce in the first half of this year by over 12%. Example number one; in Q2 we completed a voluntary headcount reduction plan that led to a reduction in our labor force of 352 employees since the beginning of the year. The reduction in the workforce which was more than twice the size of a similar action taken in 2016 is expected to generate annual cost savings of approximately $24 million with a payback period of less than 1.5 years. Example number two; we've made great strides in our drive to improve gross margin in our power standard products business, we optimize our product portfolio to emphasize higher margin products till the weak margin performance, streamline the organization and install a new R&D top management. As a result, the gross margin in the power standard products business which had been unacceptably low has increased by nearly 10 percentage points over the past two years with more than half of gaining coming in the last twelve months. We continue to optimize the power product portfolio and explore opportunity to grow the business and further improve margins. Example number three; more than two years ago we made a strategic decisions to focus our foundry business on analog technology to better align our internal capabilities with the needs of global IC players. At around the same time, we introduced 0.13 micron BCD and each square from analog process technology for power management solutions in smartphones, IoT devices, and for industry and USVC applications. Fast forward today, the broad customer adaption of this high density analog process technology helped foundry revenue grow by 31% in Q2 as compared with Q2 of 2016 while foundry gross margin increased by six percentage points. The key takeaway is that we have multiple operation levers to pull to improve profitability, and while profit improvement may not always be linear from quarter-to-quarter, our number one goal is to improve overall profitability for the company as opposed to enhancing the profit picture in any of our business lines or operating segments. Speaking of our operating segment, let's turn to our high level review of their performance in Q2 beginning with foundry. Revenue in the foundry of business was $81.5 in Q2, up 30.8% from revenue of $62.3 million in the second quarter of 2016 and 5.2% sequentially from $77.5 million in the first quarter of 2017. In Q1 of last year, we closed a legacy six inch fab that was a drag on gross margin leaving us with two highly efficient eight inch fabs. Our eight inch fab utilization, a key driver of gross margin increased in Q2 of this year to over 90% as compared with approximately 80% in Q2 of 2016. Our foundry gross margin profit dollars in Q2 totaled $23.4 million, an increase of 65% from $14.2 million in Q2 of 2016. Foundry revenue from new business which we define as product running in volume in the fab for one year or less increased by approximately 50% in the first half of the year as compared to the same period a year ago. New business accounted for approximately 20% of our total foundry revenue in Q2 which was indicative of a healthy foundry pipeline. Our BCD EE from analog process technology continue to be a winner for MagnaChip. Revenue from this pure analog technology increased 81% in Q2 from Q2 of 2016. We have said this before but is worth repeating, we may be the only foundry able to combine the BCD technology with high density EE technology in a single process note at 0.13 micron and we believe we have one of the smallest EE cell size in the industry. Now turning to the Standard Products Group; I've already highlight the margin improvement in our Standard Products Group, so let's focus on our revenue performance. Revenue in the Standard Products Group was $85.1 million in Q2, down 18.7% from the second quarter a year ago, and up 1.1% sequentially from $84.2 million in the first quarter of 2017. Revenue in the power standard product business in Q2 was $35.3 million, an increase of 16.9% from revenue of $30.2 million in the second quarter of 2016 due primarily to increased demand for super junction MOSFET and BE MOSFET for the UHD television and industrial markets. Power revenue in Q2 was about flat with Q1 of 2017 although demand for premium products like Power IC, super junction MOSFET and IGVT devices set a record. Now turning to display standard products business line. Before I described the result in our display business, please take a note that going forward we will from now on refer to our analog display drive IC as OLED display drive ICs. We are making this change in order to be consistent with commonly accepted industry naming practices for this product category. Revenue for display standard products was $49.8 million, down from 33.1% from $74.4 million in the second quarter of 2016 and up 1.8% from the first quarter of 2017. As we've said in the past, the year-over-year decline reflects previously disclosed seasonal factors and a timing mismatch between the expected drop-up in revenue from our existing OLED products and the introduction of our new OLED products. This decline was partially upset by a 34% increase in demand for non-OLED display product as compared to Q2 of 2016. Our non-OLED display drivers are now designing to 32 different models of large screen UHD televisions. The automotive market accounts for more than 10% of our non-OLED display business. Now let's talk about our OLED business. On our Q1 conference call back in May we shared our qualitative view of the state of our OLED business. At that time we described our OLED business as bumping along the bottom and said that we expect OLED revenue growth to resume in Q3. We also said that we expected the OLED business to gain traction in Q4 and set us up nicely for 2018. I can tell you now that the qualitative view we provided back in May still holds true today. We are confident that OLED revenue hit bottom in Q2 and that sequential revenue will resume in Q3 as we begin volume production from the new design wins that we shared with you in our last conference call. Our 55-nanometer flexible OLED display driver IC which eliminates side-to-side bezel [ph] and our 40-nanometer bezels OLED driver IC are expected to begin volume production during Q3. I also told you on the last call that we have another new product in the pipeline and today I'd like to share with you that today we expect to sample another 55-nanometer flexible bezels OLED driver IC for high-end smartphones. We expect this design to begin volume production in first half of 2018. In addition to the 40-nanometer and 55-nanometer design wins I've just mentioned, we recently won two other new designs using our 110-nanometer OLED display driver. This display driver has been designing to two new mid-range smartphone models from a major Korean smartphone maker with volume production for one program expected to commence in Q3 of 2017 and Q4 of this year for the other program. The bottom line is that our OLED business is now beginning to recover despite some lingering softness in China smartphone markets, we believe we'll achieve a modest rate of sequential growth in Q3 in our OLED business followed by a further growth in Q4. We remain upbeat about a more robust recovery in 2018. We believe we have an opportunity for our OLED business to once again substantially exceed the industry rate of growth in 2018 which several analysts have pegged at 25% to 30%. We based our confidence and resend design win activities, new products in the pipeline, and I believe that smartphone makers will introduce mid-range and high end models with the latest features to compete with new OLED phones being introduced from the leading global brands. Now let's turn to the Q2 actuals for OLED. OLED display driver revenue accounted for 31% of display in Q2, down from 65% display revenue in Q2 of 2016 and 33% in Q1 2017, a widely acknowledged slowdown in China smartphone market may have contributed to the decline in our OLED revenue. To sum-up on OLED, MagnaChip is the worlds only independent and volume supplier of OLED display drivers with many built-in competitive advantages. We have a 10-year track record in OLED, unparalleled design expertise, unique IP, and a foundry partner to manufacture newer generations of OLED drivers in volume using our proprietary process design kits. Perhaps most important, we are the only second source supplier of OLED display drivers to the Top Two OLED panel makers in Korea who currently could use over 95% of all OLED panels in the world according to analysts. That relationship with panel makers helped form a competitive moat [ph] and a high barriers to entry. Now I will turn the call over to Jonathan to review our financials. And then I will come back to sum-up and provide financial guidance. Jonathan?
Jonathan Kim: Thank you, YJ, and welcome to everyone on the call. As YJ said, our primary focus as a management team is to improve gross margin and overall profitability. So let's start with the numbers for the second quarter and first half of 2017. Revenue in Q2 was $166.7 million, about flat with $167.1 million in Q2 a year ago; and up 3.1% from Q1 of 2017. The sequential improvement in revenue was due primarily to a 5% increase in foundry revenue, while revenue in the display and power business lines on a sequential basis were essentially flat. Total revenue in the first half of 2017 was $328.4 million, up 4% from revenue of $315.2 million in the first half of 2016 despite previously anticipated softness in the OLED business. Turning now to profitability metrics; we generated significantly more profit dollars in Q2 of 2017 than in Q2 of 2016 on total revenue that was essentially flat with Q2 of 2016. We generated $46.7 million in gross profit in Q2, up 27% from $36.7 million in Q2 of 2016 while gross profit in the first half of 2017 was $88.2 million, up 24% from $71 million for the first half of 2016. We previously had expected that gross margin would begin to reflect the benefits of our headcount reduction in Q3 of this year. However, our gross margin actually began to benefit from -- benefited more than expected in Q2 due primarily to earlier than expected cost benefits from departures of manufacturing employees. As a result, a portion of the incremental gains we previously had expected to record in Q3 actually were recorded in Q2. Starting from a slightly higher [indiscernible] in a favorable product mix, the benefits from the headcount reduction helps to explain why gross margin in Q2 exceeded the top end of our guidance range. The workforce reduction with a challenge undertaking since Korea has worker-friendly labor laws and strong unions. That said, we negotiated favorable terms and successfully implemented the plan without missing an operational beat. Approximately 50% of those affected by the takeout reduction plan were employed in manufacturing related positions. As why they mentioned, the right-sizing of the company is expected to generate cost savings of approximately $24 million with an expected payback period of less than 1.5 years. The cost of the workforce reduction plan expected to consist of cash expenditures is approximately $31 million comprised of termination related charges of $11.1 million recorded in Q1 and $2.3 million recorded in Q2. The remaining estimated total cost of $17.6 million relates to statutory severance benefits and has already been fully accretive. Of the $31 million total cost, $28 million has already been paid. Now turning to adjusted EBITDA; for the first half of 2017 adjusted EBITDA was $33.4 million or about twice the adjusted EBITDA of $16.6 million in the first half of 2016. Now turning back to the P&L and operating expenses for Q2; selling, general and administrative expenses were $17.7 million or 10.6% of revenue in Q2 as compared to $20.4 million or 12.2% of revenue in Q2 of 2016. The decrease of $2.7 million or 13.1% was primarily attributable to $1.4 million decrease in restatement related professional fees mainly comprised of legal fees and a $1.1 million decrease in salary expense as a result of our headcount reduction. SG&A in Q2 also benefited from a gain of approximately $0.6 million from the sale of certain old fab equipments. Research and development expenses were $15.9 million or 10.2% of revenue in Q2 as compared to $18.2 million or 10.9% of revenue in Q2 2016. The decrease of $1.3 million or 6.9% was primarily attributable to $8.6 million decrease in 8-inch R&D processing costs and $0.6 million decrease in salary expense as a result of our headcount reduction of non-key R&D personnel in product lines that were either underperforming or spun-out. Net foreign currency loss in Q2 was $11.9 million as compared to net foreign currency loss of $7.1 million in Q2 of 2016. The net foreign currency loss in both periods was due to the depreciation in value of the Korean Won relative to the U.S. dollar during the period. A substantial portion of our net foreign currency gained a lot as non-cash translation gain or loss associated with the inter-company long-term loans to our Korean subsidiary which are denominated in U.S. dollars and affected by changes in the exchange rate between the Korean Won and the U.S. dollar. Net loss on a GAAP basis for the second quarter of 2017 was $8.1 million or $0.24 per basic share as compared with net loss in the second quarter of 2016 of $17.8 million or $0.51 per basic share, and as compared with net income of $43.7 million or $1.30 per basic share and $1.05 per diluted share in the first quarter of 2017. The net loss in the second quarter of 2017 was attributable primarily to a non-cash foreign exchange loss of the companies inter-company loans. Adjusted net income in non-GAAP financial measure totaled $7.8 million or $0.23 per basic share and $0.21 per diluted share in Q2 as compared to an adjusted net loss of $1.9 million or $0.05 per basic share in the second quarter of 2016 and adjusted net income of $0.5 million or $0.01 per basic and diluted share in the first quarter of 2017. Turning to the balance sheet; cash and cash equivalents totaled $131.5 million at the end of the second quarter, an increase of $47.6 million from $83.9 million at the end of the second quarter of 2016. The increase in the cash balance spends from the completion of a $86.25 million exchangeable notes offering in Q1 of 2017. Employees at the end of 2Q were 15.1 million as compared with 70.4 million at the end of the second quarter of 2016 and $61 million in Q1 2017. Notably, our inventory reserves dipped below 10% in Q2 and declined 68% from inventory reserves in Q2 of 2016 which is another indicator that we are tightly managing our operations. Accounts receivable was $76 million at the end of Q2 as compared with $54.7 million at the end of the second quarter 2016. An $81.7 million at the end of Q1 2017. The year-over-year increase in accounts receivable reflects a deliberate and strategic financial decision significant the practice of offering discounts to customers at exchange for early payments. That change in practice was made possible by the substantial increase in our cash position from a year ago levels. Capital expenditures in Q2 were $5.4 million, an increase of $3.9 million from $1.5 million in the second quarter of 2016. An unusually low figure due to the timing of the purchases of capital equipment. The capital expenditures in Q2 were related to equipment purchases to support demand of certain process technologies. Based on our current estimates we anticipate 2017 capital expenditures to be approximately $30 million. Before I turn the call back to YJ, I'll leave you with this final thought. We remain focused on executing our core business, continuing to explore opportunities to reduce costs, and being fully committed to improve profitability of management. YJ?
YJ Kim: Thank you, Jonathan. You've heard me say many times that our top priority is to improve gross margin and over profitability. But we also are committed to invest in any shape [ph] to fuel profitable revenue growth. We've been investing our analog and power business by developing higher margin standard products and investing in fab equipment New Process Technologies in IP for the needs of global foundry customers. We've also invested in improving product quality and with dramatic results, this year we were honored to receive the highest quality awards from our two largest Korean customers, who have a demanding quality standard. And of course, we are investing in OLED to build our current leadership position, we're increasing our R&D budget to generate match sets for new OLED product currently in the product pipeline. We are developing custom IP to improve screen resolution, aspect ratios, as well as lower power consumption and reduced manufacturing costs. We are all putting engineering resources in place to develop next-generation OLED packages that enable the volume production of new flexible OLED display driver IC. We've already introduced our first flexible OLED display drive IC for curve displays with no side-to-side bezels in offsetting our long-term sights to prepare for the day when affordable and roll over OLED displays will become a reality. There is a little doubt that the OLED market is in the early stages of growth and we believe we are well positioned to capitalize on this technology. For now though our sights are set on the day to day execution of the business and laying the foundation for overall corporate profitable growth. In summary, here is how we see the business shaping up. The outlook for 18 channel of [indiscernible] right for the longer term, 200-millimeter facet tight, the device running in them have long product cycles and the capital cost of these analog fast is a fraction of larger logic and memory crafts. Our power standard product business is expected continuing growth mode overtime driven by the insatiable demand to extend battery life in mobile and IoT devices and to provide more efficient sources of power supply for consumer and industrial application. We made substantial progress to improve our power margins and we will continue to explore more opportunity to extend our gains. We are confident about our prospects with our OLED product line but also mindful that the China smartphone market has been weak in the first half of 2017 and aware that there could be an overhang effect. As a result we expect that total MagnaChip revenue in 2017 could be flat with 2016 as compared to our previous expectation of modest growth. But overall, the Company is firmly committed to its profitability objectives and believes gross profit margin and adjusted EBITDA will be substantially higher in 2017 than in 2016. To sum-up, our design wins are leading indicators that give us confidence that our OLED rate of growth will substantially exceed the industry rate of growth in 2018. With that let's turn now to our forward-looking guidance. For the third quarter of 2017 MagnaChip anticipates revenue to be in the range of $172 million through $178 million or a sequentially nearly 5% at the midpoint of the projected range as compared with Q2 and compared to $192.3 million in the third quarter of 2016. Gross profit margin is anticipated to be in the range of 27% to 29% as compared to 28% in the second quarter of 2017 and as compared to 20.4% in the third quarter of 2016. Now I will turn the call back to Bruce. Bruce?
Bruce Entin: Thank you, YJ. So Heather, this concludes our prepared remarks. So we'd now like to open the call for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Suji De Silva with ROTH Capital. Your line is open.
Suji De Silva: Hi YJ, hi Jonathan, congratulations on the strong executioner you're particularly showing up in the gross margin line. My first few questions are really around the display and AMOLED business here; can you help us understand the -- and whatever metric makes sense that the number of wins or placements you have kind of exiting '17 versus where you were in '16 to understand how much broader your footprint is?
YJ Kim: Sure. So if you capture the last few earnings call, first of all, we sample our first 55-nanometer flexible AMOLED display drive IC with bezels [ph] drive IC in February of this year, now we are saying that we are going production this quarter. We also introduced our new 40-nanometer bezels drive IC in July we sample and we also saying that we're going to production tours end of this quarter and we just also said that we have two design wins in 110-nanometer that we are going production in Q3 this quarter, as well as the next quarter. And also I just disclosed today, we expect to sample another 55-nanometer flexible display driver with bezels, that is for high-end smartphone that we expect to go to production in first half 2018. So I mean you are seeing full new product that is pretty decent and so we feel very comfortable to say that we feel very confident that we can substantially exceed the gross rate of the OLED gross rate what the analyst pegged at 25% the 30%. So I think that's a good indication of the execution and the pipeline.
Suji De Silva: Okay. And then for some of the smartphone customers who are thinking about using AMOLED perhaps in the mid-year, the high-end around the flagship competition; what's driving the timing of when those phones come to market? Is this software macro demand? Is it kind of competitive dynamics; what do you think is the factor there when those phones come to market?
YJ Kim: If you look at the industry rumors and so forth, there a lot of reports you're seeing. I think that they move to the AMOLED on the mid-range and iPhone is real. And there is also rumor that there is a global brand who is about to introduce OLED phone. So it seems that the market has been watching out or timing their new product with OLED around that timeframe; so once that product launches and it's really good, then we will feel more comfortable and confident about the prospect and I think that will show on the -- perhaps an our next earnings call to see what the impact has been but we remain hopeful that our customers who use OLED drive IC will have very competitive new AMOLED offering and once that the global brand launch is done we hope to see their results and the effects.
Suji De Silva: Okay, great. And then on the foundry part of the business; you had a relatively high utilization rate, can you talk about what the key elements are there that allow you to grow the revenue and the margin there and where you are in transitioning the AMOLED business outsource you have more room in your foundry?
YJ Kim: Yes. I see you're asking very good question. So if you look at our foundry gross, that really helped our utilization to grow from 82% low to mid-90% now and the foundry revenue grew by about 30% year-over-year. And so we are looking at several things right, so we're looking at the -- just like an AMOLED, we have outsourced externally, we are also looking at some Standard Product Group to be outsourced possibly; and then we're going to also do better efficiency driving the operation and we also will look into maximizing utilization going up. And also as you mentioned, some of the AMOLED legacy and some of the display products, legacy products that are winding down; so that will give us some room to grow the foundry business. However, our number one priority is to drive the gross margin for the corporate and show what we will do is the optimized for corporate margin and so many levers and many things to consider, and we will try to optimize all three businesses.
Suji De Silva: Okay. Question on the financials; the gross margin here in sustainable products coming up here, I mean is that new level you've achieved sustainable and what are the puts and takes there from -- for each improvement you've achieved today on standard products?
Jonathan Kim: So gross margins on the standard products group is obviously moving in a good direction and as YJ said before, we're completely focused on profitability. We are primarily focused on the corporate profitability; however, all of the businesses appear to be moving in a good direction.
YJ Kim: Yes, so let me too add. I mean as we said in the call today, we have optimized portfolio and the power will continue to push the portfolio optimization power and of course the AMOLED continue to be above the corporate gross margin and we're relying on the external foundry. So we are going to do to focus number one as a corporate gross margin and then we will get each business to optimize their own gross margin based on the new product and the optimizing customer base or the portfolio of each product.
Suji De Silva: And then my last question on the OpEx; the R&D came down nicely here. What's the sustainable level here? Is there more room for that to come down and how our [indiscernible] maybe affecting that line?
YJ Kim: Off the R&D line, as discussed in the prepared remarks there were some non-key R&D headcount that we were able to reduce, and so it did come down nicely. However, looking at -- going forward, given the OLED related R&D activities, R&D cost could likely go up; I mean so that's what we're looking at as we look forward.
Suji De Silva: Okay, great, Nice job guys, thank you.
Operator: Thank you. And your next question comes from Akif [ph] with Citi. Your line is open.
Unidentified Analyst: Thank you and nice job on gross margin execution. I have a question in terms of your restructuring and headcount reduction; when do we -- when should we expect that to complete and are there any other restructuring initiatives that you guys are looking at in terms of sale of certain products?
Jonathan Kim: So the planned headcount reduction has been successfully completed by the end of Q2. And so the estimated cost savings as we mentioned is going to be approximately $24 million on an annualized with related cash cost of $31 million of which $28 million has already been paid. I mean, so the return on the investment that we've made on the restructuring I think is going to be quite healthy. As to the full effects of the cost savings kicking in, we think that it will be sort of in the back half of Q3. As to the gross margin impacts, the good news for us this quarter was that the benefits that we were anticipating to start hitting in Q3 actually came in little early and that's part of the reason why the gross margin came in higher than expected in the guidance that we provided for the quarter.
Unidentified Analyst: Okay. And then just kind of longer term on the gross margin; if I were to flat line the revenue at the midpoint, the 175, it's just based on your mix and some initiatives that you have; where can you take some of these gross margins kind of at a fixed revenue level?
Jonathan Kim: We provide our guidance one quarter at a time for revenue and gross margin at the corporate level and that's been our practice. But as we've said repeatedly, we will continue to focus on profitability as well as our gross margin and we will be looking at all the different levers to execute our plan going forward. So we will continue to look at our strategy, our cost structure and various different opportunities to explore cost reduction opportunities; and as we've said, we're fully committed on executing our core business and committed to improving profitability.
Unidentified Analyst: Okay. And then did you disclose your OLED sales in Q2?
YJ Kim: We said that it accounted 31% of our display revenue.
Unidentified Analyst: Okay. And then with respect to China, I understand you guys are proliferating in China the curve smartphones and -- but it's very difficult to predict which one of those smartphone are going to be winners. So -- but when you look at your funnel of the Chinese kind of customers and smartphones, do you think you're hitting all the top two or three guys like Huawei and [indiscernible] that your odds of growing this business next year should improve?
YJ Kim: Yes, so you're asking very good questions. So first of all, we don't talk about our end customers publicly but if you look at in the last year 2016, we have more than 12 Chinese smartphone makers end customers; obviously, with all these new products we're going to -- we are going after that and I did said, I think that what we are excited about is that we enabling our previous customer or the current customer with the new design that allow you to do a mid-range phone, high-end phone flex similar curve though bezels, so this will be on no old/new form factors and I think this is the new trend. So we are excited to see the product launch that's going to happen towards the end of this quarter and see how that plays out. And we will also see how the global brand plays out and in the next earnings call we probably can give you an indication of the impact and effect.
Unidentified Analyst: Great, thanks.
Operator: Thank you. And your next question comes from Rajender Gill from Needham & Company. Your line is open.
Unidentified Analyst: Hi, this is Bob [ph] on behalf of Raj. Just going back real quick to the foundry business; I want to get a little bit more clarity around AMOLED coming off the 110-nanometer fab; I mean in terms of the percentage of the analog business, is it safe to assume this is around 30-year or so percent and how should we really track that going forward? Does these legacy products have a long tail or do we see most of the analog coming off as said in the next year?
YJ Kim: Well, first of all we don't break down the AMOLED portion of our internal fab consumption. So for us, but -- as we disclosed today that we won two other sockets using our 110-nanometer; so it seems like that there we may have some usage of that internal fab through towards the end of next year. And so -- but it's not that large consumption, so we will try to make this much possible for our foundry growth and we also discussed that some other ways that I talked about perhaps outsourcing some of standard products to further, as well as some of the IT product waving down in the non-AMOLED display, things like that that will provide more room for the foundry usage growth.
Unidentified Analyst: Okay, thank you. And maybe just a more general question in terms of what demand you're seeing for power management products; are there any particular products that you feel you're seeing outsized growth within the market currently?
YJ Kim: Well, so there are two areas in power fund, one is the -- our foundry and our own product. So they are different market, different customer; so -- but we are well positioned in the consumer, industrial and communications with our own products. And then our customers, they all love in all the five key segments and we don't compete which is also very good, and then our own product tend to be more concentrated in Asia whereas our customers are global; so that also gives a more diversification and so -- but the -- as we disclose today that is one of the key growth area for our foundry, as well as our own product and we think that those analog will be a good long-term growth and portfolio for us.
Unidentified Analyst: Okay, great, thank you. I appreciate the color.
Operator: Thank you. And I'm showing no further questions at this time. I'd like to turn to call back over to Bruce Entin for closing remarks.
Bruce Entin: Thank you, Heather. So this concludes our second quarter earnings conference call. Please look for details at our future events on MagnaChip's Investor Relations website. Thank you for joining us today.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you all may disconnect. Everyone have a wonderful day.